Jean-Laurent Bonnafé: Good morning and good afternoon to everybody. Welcome to BNP Paribas 2020 Results Presentation. I hope first, you’re keeping well, all of us. In today’s presentation, we’ll cover the first three chapters of the slide presentation, group results, division results, and 2021 trends. First, I’ll take you through the summary of our group results. Then Lars Machenil will comment on the results by division, and then I’ll update you on the 2021 trends. As usual at the end, together with Philippe Bordenave, we’d be pleased to take your questions. So before we get into more details on our 2020 results, I would like to touch on a few highlights and key messages on Slide 3. 2020 earmarked by an unprecedented context, demonstrated the effectiveness and resilience of BNP Paribas diversified and integrated model. From the onset of the public health crisis, BNP Paribas has mobilized relentlessly its resources and expertise to support its individual, corporate and institutional clients in these very challenging times. Thus, total loans to customers grew by €33 billion, 4.4% on 2019, while over 100,000 state-guaranteed loans were granted across our retail networks, mostly to SMEs. In the wholesale activities, CIB raised close to €400 billion for clients across syndicated loan, bond and equity markets. Our teams were instrumental in the success and I would like to thank them for their commitment and for adjusting nimbly throughout 2020. BNP Paribas has been highly resilient with revenues quite stable on last year and up 1.3% on a like-for-like basis. Costs were down by €1.1 billion, 3% on 2019 on the back of the success of our digital and industrial transformation and in line with our objectives. Thus, the group operated with positive jaws of 2.9 points in 2020. Cost of risk at the group level rose on the back of the effects of the public health crisis. It stood at 66 basis points of customer loans outstanding, out of which €1.4 billion or 16 basis points consisted in provisioning of performing loans to so-called stages one and two provisioning, which in IFRS 9 lingua means in anticipation of potential future credit losses. The group’s net result stood at €7.1 billion, down 13.5% on 2019 and better than the target range set by the group at the time of our first quarter results presentation. Finally, the group is very strongly capitalized, not to say too strongly with the common equity Tier 1 ratio of 12.8% on year-end, up 70 basis points on last year. We will come back precisely to the distribution policy later, but in a nutshell, 50% of 2020 result is accrued for return to shareholders, out of which 21% would be paid in May 2021 in cash, followed by an additional restitution of 29% contemplated from September 2021 onwards, subject to relevant approvals. Moving to main exceptional items on Slide 5 with the end of transportation costs, the total of exceptional items decreased to some extent, generating a positive overall contribution to the group’s net income. Lastly, as you can see on Slide 6, our net result translate into a return on tangible equity of 7.6%, showing very good resilience in the context marked by the health crisis. Turning now to the revenues of the operating divisions on Slide 7, you can see that they were slightly up on last year and rose by 2% on a comparable basis. Domestic markets proved resilient with a 2.1% decrease on last year. The very good performance of specialized businesses only partly offset the impact of the low interest rate environment and the health crisis. IFS’ revenues were impacted by the health crisis despite good performance at BancWest. Lastly, CIB’s revenues rose sharply by 13.9% with growth across all businesses. On Slide 8, you can see that cost of our operating divisions were down by €1.1 billion, or 3.6% on 2019, and in line with the objectives of the 2020 plan on the back of the success of the digital and industrial transformation. It is worth noting that this has been achieved despite the impact of the donations and staff safety measures, relating to the health crisis and higher taxes subject to IFRIC 21 besides the magnitude of the positive jaws has increased to 2.9 points from 2.4 points last year. Switching to Slide 9, for the evolution of costs in the divisions, domestic markets costs were down 1.6% with a more pronounced decrease in the networks on the back of the continued adaptation of the operating model, while specialized businesses operated with largely positive jaws. IFS show a reduction of 3.7% of its operating expenses, thanks to cost saving measures that were stepped up by the health crisis. And lastly, CIB show its cost rise by 3% reflecting business growth, but contained by cost saving measures. As a result, CIB operated with significantly positive jaws, just shy of 11%. Moving to cost of risk, starting with Slide 10 and looking at group level first. At €5.7 billion or 66 basis points of customer loans outstanding. It’s up 27 bps on last year, out of which 16 basis points with respect to stage one and stage two performing loans. Thus, in aggregate, the group booked €1.4 billion in provisioning of performing loans in 2020 in anticipation of potential future credit losses due to the effects of the health crisis and inconsistency with the prudent and resilient risk profile of the group throughout the cycle. Turning to cost of risk across retail banking on Slide 11, you can see that cost of risk was up in all geographies, mainly due to the provisioning of performing loans. Switching to Slide 12, the cost of risk in corporate banking was up on last year, due to provisioning of performing loans and specific files. Personal files show an increase in provisioning of performing loans and anticipated the impact of the regulatory change in the definition of default effective 1st January, 2021 in the fourth quarter 2020. Turning now to Slide 13 on the financial structure, you can see that our common equity Tier 1 ratio increased to 12.8%, up 70 basis points on last year. It is worthy to note that we have accrued 50% of 2020 result for return to shareholders and therefore, outside the CET1. Our Basel III leverage ratio stood at 4.9% and the group’s immediately available liquidity reserve totaled strong €432 billion at the end of the year. The evolution of these ratios goes to confirm the very solid financial structure of the group. Switching to Slide 14 for 2020 dividend and distribution policy, the return to shareholders will occur in two steps. First in May, a dividend of €1.11 per share fully paid in cash, equivalent to 20.1% of 2020 net income will be proposed by the board of shareholders annual general meeting. These proposed dividends equates to the maximum amount distributable under the ECB recommendation dated 15th December, 2020. Then an additional restitution of 29% of 2020 net income is intended from September 2021 onwards. Meaning as soon as ECB repairs its recommendation, which it is expected to do by the end of September 2021. “In the absence of materially adverse developments” and pending relevant approvals. The group contemplates making this restitution to its shareholders in the form of share buybacks or distribution of reserves. With respect to 2021 financial year, the payout ratio objective remains 50% of 2021 net income. Thereafter, given that the group’s common equity Tier 1 ratio at the end of 2020 is well above ECB’s notified requests and higher than the group objectives of 12%, the distribution policy will be reviewed in the context of the next 2025 strategic plan. Moving now to Slide 16 to 18, I would like to emphasize the policy – that the policy of engagement in society is deeply rooted in the bank’s governance and strategic goals. Looking at our achievements in this field, I’ll mention in particular, the design and implementation of steering tools to align loan portfolios with the Paris Agreement trajectory, when it come to CO2 emissions. First of all, we met our objective to become a leader in sustainable finance in 2020 with for instance, the group’s number one global ranking in sustainable bonds, as well as in pandemic bonds worldwide. Our efforts will continue into 2021, along three main work streams. First, the strengthening of the ESG set-up; second, a granular implementation of our steering tools with respect to certain key loan portfolios; third, the number of new commitments contributing to the United Nations sustainable development goals, including directing more financing towards companies, furthering the energy transition as well as new targets for financing tied to terrestrial biodiversity. Then you will find on Slide 19 some key points on the continuous reinforcement of the group’s internal control and compliance system. And now I hand over to Lars for the divisional results. Lars, please.
Lars Machenil: Thank you, Jean-Laurent. Ladies and gentlemen, good afternoon, trust you all keeping well. If I could kindly invite you to move to Slide 21 and onwards, where we start with domestic markets, you can see that it shows good business drives with solid loan growth. Private banking achieved over €6 billion of net assets inflows, of which 80% from external net inflows. The retail networks were fully mobilized to support their clients and particularly to the granting of state-guaranteed loan in France, drumming close to €18 billion and Italy to the tune of €4 billion. In addition, French Retail Banking intends to double its equity investments program to €4 billion by 2024. So domestic markets stepped up growth in active mobile users, as well as in digital users amplified in response to restrictions due to the pandemic and sustains by its best-in-class digital offerings. Furthermore, Nickel, a top five player in the European neobank market continues to acquire new clients in France and just kicked off operations in Spain. If we now look at the numbers to the P&L revenues, they were down 2.1% at €15.5 billion with the impact of low interest rates, partially offset by higher loan volumes and a positive evolution in specialized businesses, with amongst others, a very sharp increase in revenues at personal investors, in particular, Consorsbank in Germany. If we now look at the next line, operating costs, they were down 1.6% compared to 2019 with a 2.7% decrease in the networks while the specialized businesses stored 3.4% increase in costs in connection with their growth. Against this backdrop, if we look for example, at Belgian Retail Banking, domestic markets, specialized businesses, and BNL after excluding a non-recurring item in 2019, all operated with positive jaws in 2020. Now, if we turn to the next slide, which is cost of risk, it was up mainly on the back of the provisioning of performing loans. Note, I use this as a tool to make a reference to this IFRS 9 provisioning on stage one and stage two. So if we look at that, pre-tax income proved resilient in the context of this health crisis with 13.9% decrease compared to 2019. So if we wrap up, domestic markets showed resilience despite the persistent headwind of low interest rates and the effects of the crisis on the cost of risk. So that’s the first division. If we now turn to Slide 29 and beyond, you will see that the retail banking networks of domestic markets expect to see in 2021 a rebound in activities that were affected by the health crisis in 2020, such as cash management, trade finance and factoring, as well as an overall continued growth in loan volumes. They will also step-up initiatives with a view to transforming deposits into financial savings. Finally, with the continued digitalization of platforms and offerings combined with the industrialization of their processes, retail banks will continue to adapt their cost structures and branch setup in tune with the evolution of customers’ behavior. Then if we look at the specialized businesses, on the other hand, they expect to see an increased business drive amid the economic recovery. In particularly, Arval will move up a gear, if I can say so move up a gear with objective to become the leader in sustainable mobility while growing its finance fleet to 2 million vehicles and achieving €1 billion in pre-tax income by 2025. So this sums up domestic markets, the picture of 2020 and what is anticipated for 2021. And if we now switch to Pages 30 to 40, where we have international financial services. The division maintained a good business drive despite the headwinds stemming from public health measures. We can see this as loans were up 1.5% at constant scope and exchange rate, thanks to strong business momentum in international banking networks. If we look at Personal Finance, they saw a gradual return to growth in its loans outstanding from the low point reached in the third quarter of 2020. In its asset gathering businesses, the division achieved very good net asset inflows of close to €55 billion in 2020, including €40 billion as asset management on the back of the successful transformation that has been launched. If we then look at Wealth Management, it’s also very good net asset inflows in Europe and in Asia. If we then turn to Insurance, it’s a good resilience during the health crisis with the increase in claims contained as well as the reduction in volumes, while a rebound in savings activity materialized towards the end of the year. Finally, Real Estate Services was strongly impacted by the lockdowns and restrictions of 2020. If you now look at the P&L, so revenues were down 7.2% compared to 2019 or 4.6% on a like-for-like basis. Cost decreased by 3.7% year-on-year, or 1.6% on a comparable basis on the back of stepped up cost savings with the health crisis. As a result, IFS pre-tax income was down 34.5% compared to 2019, in particular, as a result of the increase in the cost of risk. If we now turn to Page 41, where we look at our anticipation of IFS into 2021. So revenues in international retail banking are expected to grow thanks to the recovery and activities that were impacted by public health measures and the transformation of deposits into financial savings. If we turn to Personal Finance, it expects to return gradually to growth in loan production volumes compared to 2020 as public health conditions improve over the course of 2021. Targeted development through external partnership will remain a focus for the business. Finally, Insurance and Wealth and Asset Management will work hand in hand with the group’s retail networks to step-up initiatives in order to transform deposits into financial savings. And particularly, Insurance will pursue its development and diversification into non-life products, and Real Estate will position itself for the gradual rebound in transactions once public health measures are lifted. So this completes the overview of our Retail Banking and Services business. And this takes me to Slide 42 and beyond on the third division, Corporate and Institutional Banking. Overall, CIB achieved an excellent performance with a very strong business drive through the year across all of its three businesses, reflecting the extent of the support provided to clients. If we zoom on business areas, in early part of 2020 financing saw a strong drive. For instance, syndicated loans were exceptionally high with the same momentum carrying over into bond and equity markets as from the second quarter and through to year-end. Looking at market activities, they also saw a very strong level of activity on the back of solid demand from clients in an exceptional market context. This intense period of activity created an opportunity to strengthen client positions in all regions and to affirm European leadership in EMEA. This is evidence in particular by the bank stock ranking in EMEA. The revenues of CIB were just up – just shy of 14% compared to 2019 with growth in all three business lines. So if we look at it, for example, they are up 22.4% in global markets on the back of a strong growth in fixed income, which saw plus 58.6%, while revenues in Equity and Prime Services suffered from the impact of the exceptional shocks particularly in Europe in the first quarter of 2020, followed by a gradual normalization in the second half. If we look at the second domain within CIB, Corporate Banking, up 9.6% with good growth in all regions, particularly in Europe, with strong growth in capital markets, good resilience in cash management and somewhat weaker volumes in trade finance. And then the third one, Security Services, up 0.9% with growth in all regions driven by the Americas and Asia-Pacific and very sustained transaction volumes throughout the year. So this is a top line of CIB. If we look at the costs on the other hand, they increased by 3% given the high level of activity that were partly offset by cost saving measures. On a like-for-like basis, the division operated with, I don’t know what the objective is, I will say, highly positive jaws of 12.1 points. Overall, CIB generated €3.5 billion of pre-tax income, up 7.7% compared to the previous year on the back of a strong increase in gross operating income at plus 41%, somewhat tempered by an increase in the cost of risk. If we now look at CIB and how we look at 2021, CIB expects to continue building on its development momentum based on the two main pillars. Firstly, CIB will leverage initiatives, which are already underway. These include the intensification of certain country plans that were already launched in EMEA. And beyond Europe, CIB will continue to expand its footprint in the Americas and Asia-Pacific with a focus on growth inflow versus – and cross-border deals. Global markets will further develop its electronic platforms and persuade its strategy to provide solutions to those players looking to optimize their setup through servicing or white-labeling arrangement. And then the second part of the CIB leverage is that it will accelerate the development of its equity businesses. To this end, CIB will rollout a broader prime services offering with the integration of the Deutsche Bank platform by the end of this year and strengthen its cooperation with Exane BNP Paribas in particularly to further grow its ECM franchise. So this concludes CIB, and this basically concludes the revision of the three divisions. So I hand it back to Jean-Laurent for the last part of the presentation.
Jean-Laurent Bonnafé: Thank you, Lars. So let’s now look at the last part of today’s presentation, 2021 trends. Focusing on the big picture, first on Slide 51, the 2020 year marked by the health crisis, a gradual rebound in economic activity is expected with effect from the second half of 2021, still with ups and downs in tune with the developments on the public health front. As a matter of fact, several projections show a return to growth in GDP this year across all regions. Shifting to interest rates, market consensus is pointed towards levels lower than earlier expectations and this is likely to weight on interest income at retail banks. Again, the backdrop, BNP Paribas expects to continue to deliver growth, thanks in particular to its revenue diversification and its positioning on the most resilient sectors and client segments. In addition, the intensification of cooperation between businesses and the continued strengthening of its franchisees and market share gains will be key in reinforcing the positive business and revenue momentum in 2021. Turning to Slide 52, let’s review the main wins supporting the revenues of our operating divisions. Domestic markets is expected to benefit from the rebound inflow businesses and specialized subsidiaries as well as an increased momentum at Arval and Leasing Solutions, while the persistent impact of the low interest rate environment is expected to party offset these positive evolutions. At IFS, retail banking activities are expected to see a revenue increase thanks to the rebound in economic activity. Besides, recovery is also expected over the course of the year in those businesses, which have been impacted by public health measures in 2020, such as Personal Finance, Insurance and Real Estate. Finally, the acceleration of the transformation of deposits into financial savings across all retail networks is expected to generate revenue growth opportunities in particular Assets, Waste Management and Insurance. Lastly CIB, the intense period of activity in 2020 was an opportunity to strengthen client positions, which would be a mental win for 2021. As such, CIB in a more normalized environment is expected to benefit first from the contribution of its strengthened franchises and European leadership in EMEA, leveraging its continued market share gains and strong business momentum throughout all phases of the crisis. Second, from a more normalized market environment, it should benefit from a favorable base effect due to market shocks experienced in the first half of 2020, which weighted heavily on Equity and Prime Services revenues. Conversely, volumes inflict are not expected to match the magnitude of the business in 2020. As a result, benefiting from different dynamics and the economic activity progressively returning to normal, group revenues are expected to grow moderately this year. Switching to operating expenses on Slide 53, the increasing contribution of the transformation combined with the acceleration of digital users triggered by the health crisis are expected to result in continued cost adjustments, likely to upset natural inflation. Overall, costs of those are anticipated to remain stable in 2021, excluding the effects of scope changes and taxes subject to IFRIC21. Moving to cost of risk now in Slide 54. The group put aside more than €1.4 billion in 2020 to provide for the anticipated consequences of the health crisis in the coming years, as we do not anticipate any further significant deterioration of the macroeconomic scenario. On the contrary, we contemplate that many uncertainties are being reduced. A progressive normalization of the cost of risk is anticipated in 2021, being the first step after peak in 2020. Therefore, the cost of risk in 2021 is expected to decrease in 2021 compared to 2020 level close to the cycle average. If we now move to Slide 55, you will see a high level overview of the key themes of the 2020 to 2025 plan. BNP Paribas is well positioned to enter a new phase of growth. The group will pursue and depend on its strategic pillars, while leveraging new synergies and initiatives. Throughout this plane aiming at crystallizing a reinforced cross dynamic, cost control will remain the main point of attention while the objective of delivering positive jobs while not introducing a lumpy transformation course. The management team will work towards a more detailed plan over the next few months, and we will be back to share with you our source with respect to the new phases of growth for the group. Switching now to Slide 57, which concludes today’s presentation. As key takeaways, again, I would like you to keep in mind, the strong mobilization of the bank and its employees, the key contribution from the bank’s transformation, the benefits of our diversified and integrated model to the various phases of the crisis, The leadership of the group in sustainable finance, the resilience of the bank’s net income in challenging times, the expected distribution of 50% of the net income and the preparation of a new strategic plan for 2020 to 2025. Ladies and gentlemen, thank you for your attention and together with Philippe and Lars, we’ll now be pleased to take your questions.
Operator: Thank you, sir. [Operator Instructions] We have one first question from Madame Delphine Lee from JPMorgan. Madame, please go ahead.
Delphine Lee: Yes. Good afternoon. Thanks for taking my questions. I have two mainly. The first one is just to come back to your dividend policy. I’m just trying to understand a little bit the 50% P&L targets that you have reiterated. If you could share a little bit your – share some color on your discussions with ECB, just to get a bit of an understanding of how comfortable the ECB is with you as a group putting out such a strong commitment to the market in terms of payout, and then also do you have any preference in what the thinking would be between buy backs and cash dividends? My second question is on your cost of risk guidance, which is also hinting to very material decline compared to the 2021 – 2020 level of 66 basis points. What would you say to, let’s say the market reassure about that €1.4 billion or 16 basis points of level of forward-looking provisions you’ve taken? How comfortable are you with this? I mean, if you compare to your European peers, it does look like a small number. So, what’s the underlying thinking about the cost of risks for this year? If you just can give – share some thoughts around this, that would be great. Thank you.
Jean-Laurent Bonnafé: On the dividend policy, we are prepared to move exactly accordingly to the ECB, SSM recommendation. So, upfront arose to pay the equivalent of 21% of the net result per share. That is one €1.11 billion. So, this is a given factor. And second, if the recommendation and if the band is ultimately, we say, removed by the end of September, like again, we can complement. So, there is nothing specific to BNP Paribas, we just proceed along the ECB recommendation. And all in all, this should amount to 50%, because this is the dividend policy we have during the 2020 plan. So, 2020 is part of the 2020 plan. So, we do apply a 50% payout on the net dividend on the net result per share. So, there is nothing specific on BNP Paribas and knowing that ratios and particularly, equity Tier 1 ratio is that the maximum level ever and the distance to MDA is large. There is no question about ability to pay. And again, this 2.8% is computed out of the dividends. So, we have already considered, taken into account the fact that we will pay 50%. So, because we consider that most probably, we will pay the 50%, we have withdrawn this amount to the core equity Tier 1, again, even after this is still as a record level that is to 12.8%. So, there is nothing specific about BNP Paribas, just a mechanism that is given to European banks by the SSM and ECB. First, there is a right to pay up to a certain amount, which is equals to 21%. And second, potentially, after the 31st of September, we would be allowed to complement up to the natural level for BNP Paribas that is 50%, then do we prefer buybacks or do we prefer distribution of reserves, it will depend on the moment timetable. The fact is that for French company, you cannot pay anymore a regular dividend after the 1st of October. So, if we went to pay, this is our intention, and this is what we considered the most probable scenario. We will have to opt either for one or the other one or a mix of the two. On the cost of risk, well, the best way to consider a situation is to look back at the past stress testing. We went through a number of stress testing. You can have the comparison in any stress testing and COVID crisis is a kind of stress testing. We got extremely strong results compared to the benchmark. So, this is very clear that under the COVID situation clearly, we have this situation compared to peers, but nevertheless, cost of risk close to double this year. And the anticipation we made €1.4 billion is extremely important and scenarios, in which not all of that will be ultimately lost. So, we are, I would say under the economic scenario, we are contemplating comfortable with the fact that we will see as soon as 2021 decrease in cost of risk and potentially, a level that could be close to pseudo cycle level of provisioning.
Delphine Lee: Okay. Thank you very much.
Operator: Thank you, Madame. Next question is from Mr. Jon Peace from Credit Suisse. Sir, please go ahead.
Jon Peace: Yes, thank you. Good afternoon, everybody. I just wanted to ask a couple of clarifications on your guidance, please. So presumably, the 2021 guidance is slightly higher revenues and flat cost is based off the adjusted numbers, excluding the exceptional items. And I just wondered whether you had any exceptional items potentially, in mind for 2021, specifically whether there might be any restructuring during the year to achieve your revenue growth goals. And how should we think about sizing any potential increase in the single resolution fund contribution? And then the second one, just on the cost of risk trend when you talk about it getting close to the – through the cycle average, what do you think is that through the cycle average at the moment, and do we go down to that number by Q4? Or do we achieve that on average through the year? Thank you.
Jean-Laurent Bonnafé: Yes, John. Good afternoon. On the guidance, the guidance that we’ve given, are basically starting from the 2020 results. So that means they are including exceptional elements. And so on your question of exceptional elements in the cost, I mean, there will always be somewhat exceptional elements. And so we had them in 2020, we’ll probably have them again, of that nature in 2021. And as you know, these exceptional costs, they are typically – they’re leading to optimization in the bank. And therefore, they lead to basically, the realization of capital gains, which are more than offset. So, if you look in 2020, the exceptional results in total are positive and so we anticipate to be – to have something similar this year. And on your cost of the single resolution fund that is something that is not in our hand. There is a – they look at the deposit; they look at the fraction that they want on it. That is something that during the year, they will clarify at this stage. We don’t know. And if you look at the cost of risk, if you look at the scenarios, there are still bit scenarios and how we will – they evolve in the first quarter and the likes. So, the guidance that we gave over the cycle is a full-year guidance. So Jon, that would be my answers.
Jon Peace: Thank you. And what do you think have been basis points as you’re through the cycle rate at the moment, please?
Jean-Laurent Bonnafé: Through the cycle rate, not through the moment, but through the cycle, is like say 50 basis points to 55 basis points.
Jon Peace: Great. Thank you.
Operator: Thank you, sir. We have the next question from Madame Lorraine Quoirez from UBS. Please go ahead.
Lorraine Quoirez: Hello. Thank you for taking my questions and congratulations on this strong performance this year. The first question I would have either on loan growth. I think you said at the moment that obviously, the prospect for loan growth today is not as high as what could have been before the pandemic, but that you can somehow offset that, thanks to market share gains and all the things. So, can you perhaps give us a bit of indication of what sort of loan growth you are still expecting in 2021? Are you still looking for something around 4%? And then the second thing is regarding your energy financing. Do you believe that you can fully offset the declining energy financing, which would be related to aligning your portfolio to the Paris agreement by effectively, increasing the financing of energy, or would you have to make up that gap by gaining market share in other sectors? Thank you.
Jean-Laurent Bonnafé: With respect to loan growth, there is no specific guidance that we give you. So that in 2020, we grew by 4.4%, which was partially driven by also the volumes that we have. So, what you see that in a normal cycle, we have somewhere between 2% and 3% of a credit evolution. So, it’s going to be in that range that we would anticipate. On the energy, I think we are – we have started a kind of diverting living coal, shale oil & gas and more oil and gas trading financing, and focusing on renewable financing a lot, and we think that this is a trend for the whole society worldwide, and we are quite confident that this involvement in the green energy is going to provide us with a lot of opportunities of business. It will be more than offset what we leave behind us in the traditional or in the non-conventional oil sectors.
Lorraine Quoirez: Thank you very much.
Operator: Thank you, Madame. Next question is from Mr. Omar Fall from Barclays. Please go ahead.
Omar Fall: Hi, thank you for taking my questions. So just firstly, you seem to have to be one of the few banks, confident enough to guide for higher revenues in 2021. I guess a big part of that, as you mentioned, the billion euro or so base effect from the equities market shock in the first half. But do you think that even excluding this effect, you could see some growth, thanks to some of the drivers that you highlight here. And then of course, we’ve got the part of the Deutsche Bank business coming on board as well. And then the second question is just from your interesting point on slide 52 on the acceleration of the transformation to interest savings. So, the kind of excess retail deposits from the pandemic that you expect to shift to mutual funds and unit linked, I guess, what signs is that are we seeing at the moment, particularly in the New Year, given that the data is somewhat lagged. And in particular in France, I guess we’ve been waiting for a while for this re-risking of household savings away from kind of your contracts. It sounds like you think this crisis is a catalyst for that transformation. And then, sorry – just as a bonus, but more of a request, then the question that would it be possible to just get more detail on the P&L splits in other domestic markets? It’s a great division. That’s the biggest profit contributor in the domestic markets, but the five businesses that have nothing to do with each other. So, it’s difficult to get a sense of what’s happening there. Thanks.
Jean-Laurent Bonnafé: On the guidance, as you said, we are among the very few banks that is giving the guidance. So, I guess this is a precise enough. we cannot go further and give more details. on asset gathering, we are strong platforms throughout Europe. de facto, we are the first private bank throughout the Eurozone. Contrary to what you said, those five businesses have a lot to do in common and well, what we can see is that I would say affluent people familiar faces are not shy at all. The impact of the crisis is not, I would say, preventing, I would say affluent people to invest for the long-term. This is for sure. Looking at the franchise of BNP Paribas by domestic markets and [indiscernible] private bank or an affluent platform this is not at all a pure retail operation. We are not to setting loan platform type of operations throughout Europe. And the fact is that those persons, those counterparts in the environment, in which we are in Europe with negative rates, they can only move off balance sheet. There is no absorption. So, as they’ve benefited a lot; basically in France, but you can say, just the same in Germany, Italy over the crisis, private individuals gathered in France close to €100 billion, and you can see that in the balance sheet of the bank, where really strong surge deposits, and this is very much linked to affluent counterparts. They have no choice, but to invest of balance sheet. So, it can be insurance life. It can be asset management. It can be in products offered by the real estate business, which is also an asset manager. So, there is a number of option and clear each time to join forces, to allow the group to propose the best solution for those counterparts that are fortunate enough to benefit from the crisis, this is a fact, and prevent them from the negative rate scenario that is really very, very different to the previous cycle. There is no question. They cannot maintain such a large amount of wealth in the balance sheet of the bank. So, worth to continuously transform those amounts and we saw the surge of those moments, because again, those counterparts benefited from the crisis. So well, this is one of the strong point of the franchisee story, the underlying quality as well as the quality, who have anything that is mid-caps, large caps, as counterparts cost of risk at BNP Paribas will be moderate, because of the quality of the franchise.
Philippe Bordenave: Yes. on other domestic markets, listen, we are a large bank. And so we make homogeneous groups that are over a certain size and are driven by the same or similar economic elements. And so here other domestic markets, they are growth focused. So, that basically makes it as a whole. from time to time, we give a zoom, like for example, as well, zoom is available. So that’s basically where we stand, but that’s our view on regrouping of other domestic markets.
Omar Fall: Thank you.
Operator: Thank you, sir. Next question is from Madame Giulia Miotto from Morgan Stanley. Madame, please go ahead.
Giulia Miotto: Yes. Hi, good afternoon. A couple of questions from my side as well. The first one is on insurance. So, revenues were a particularly weak this quarter, if I understand well, because of some neutrality. I was wondering, what is the outlook here? I’ll quickly turn the rebound. Also, so that’s my first question. then, the second question on the half of French corporates, so they are the most invested in Europe, even if we correct for integral funding; however, your guidance for cost of risk is quite encouraging and primarily, for loan growth, how do you square these two things? Are you betting that companies with actually still low cost of risk and loan growth, is that thanks to the state guarantee loans or what else? Thank you.
Jean-Laurent Bonnafé: Giulia, on insurance, as it is presented, there is one little element that you have to keep in mind is that in the revenues of insurance, contrary to what we have in banks, the claims are in there. So, in a bank, you’ll have top-line revenues, cost, and then cost of risk, whereas in insurance – in a bank insurance, the claims are basically netted from the revenue. So, that is one of the reasons when you say the revenues are weak, that’s because of the claims. And so what we anticipated with the rebound, just like on the cost of risk, we expect those claims to be lower. And that is why we feel comfortable on the evolution and the bouncing back of insurance revenues.
Philippe Bordenave: And maybe, as far as the claims are concerned, we have to explain that they are coming from the consumer protection insurance, where we hedge the risk of the consumer loans, typically, auto loans, or things like that. And very often that we are ensuring not only the risk of deaths and disability, but also sometimes, the risk of unemployment and in the – in 2020, in southern countries, we had the rise in unemployment. And so we had some claims higher than usually. And this is why. but again, we use the recovery this unemployment rate should decline progressively, and we have re-priced as well simultaneously. And so normally, we should see that improving significantly next year, this year, I mean 2021. above the...
Lars Machenil: On your question on the growth, on the corporate, one of the things, what we basically see and anticipate is a shift, if I can say from early a liquidity need. So, a need for the liquidity end of it into an equity need; so a support for growth going forward and that is therefore basically, if you look at the state guaranteed loans, they were there to support the liquidity needs, whereas we anticipate that there will be a shift into the investment need, and that is basically one of the drivers that we anticipate for the growth. So, Giulia, that will be our answers.
Giulia Miotto: Thank you.
Operator: Thank you, Madame. Next question is from Mr. Matthew Clark from Mediobanca. Please go ahead.
Matthew Clark: Hello. So, a couple of questions; firstly, on the TLTRO, I think in the certain note of the Annual Report, you say that you’re assuming the first year, you get the bonus rate and then you don’t in the second two years. So, can I infer from that, that you don’t expect to meet the lending benchmark for the additional monitoring period, the October 2020 to December 2021? So, just any thoughts that you have or your expectations for meeting that additional lending benchmark. Second question is on the Deutsche bank prime division. Could you just give us some guidance of what you’re expecting the impact of the transfer of those activities during 2021 to be on full year 2021 P&L, is there anything included within your guidance of revenue growth and flat costs coming from Deutsche, for example? And then final question is just on capital and TRIM. Should we still expect that to come through in 2021? And are there any other kind of one-off lumpy capital effects we should bear in mind for 2021? Thank you.
Jean-Laurent Bonnafé: On the TLTRO – so on the TLTRO, what – as you know, the TLTRO is collateralized funding, and if you look at it to collateralize funding, that basically the bank does is already at prices, which are interesting. but indeed, the TLTRO takes that a step further. And that is basically something that we use in particularly also to compensate for the money that we deposit at a central bank, which is basically coming not for free neither. And so – but on your assumption, we – of course, we assume that we will make the growth rate, but what I said earlier that we anticipate credit growth rate and what we see. So, we anticipate going forward to have that. So that is that when it comes to your question on TRIM, on the TRIM impacts for 2021...
Lars Machenil: Yes, we – on the TRIM impact for 2021 while we expect the TRIM impact to mostly come in 2021, indeed. And we confirm the kind of guidance we have given that it should cost maybe, in the region of 20 basis points around having in mind that this is well, currently not yet, while it’s still under discussion with the assessment. on the prime division, we are starting to onboard clients. The IT connections are partly done. it will last – it will be completed only at the end of 2021 or early 2022. We are on schedule. There is no specific issue. It’s a lot of work, but we do that work in a very good, I would say spirit of cooperation with the teams, the EMDEN teams coming to us. I think we are very pleased with this transaction and the way, it’s evolving. now, the impact – so progressively in 2021, growing a number of clients are going to be on boarded. And so you will see a growing moderately – growing P&L, coming both revenues and costs coming from this business. the full – probably, the full year will be only seen in 2022. 2021 will remain a transitory year; I would say. To ensure, yes, we don’t want to give any figure, it will help the P&L on the equity and derivatives business, of course. But we don’t want to provide figures, because it will depend on the – let’s say the balances that are going to come, which itself will depend on the leverages and the level of activity of the clients, the quantitative trends which we cannot anticipate exactly. So we prefer not to give any figure, but it will be clearly a plus both in the revenues and the cost side for equity and derivatives in 2021.
Matthew Clark: Thanks. Just to follow up, if that helpful impact included within your guidance for the group this year. And then secondly, just coming back to the TLTRO question to avoid stouts you’re saying you expect to meet all of the hurdles, not just the first, the original hurdle.
Jean-Laurent Bonnafé: I mean, our guidance is clear know.
Lars Machenil: Our guidance, it’s basically without parameter changes. So this Deutsche Bank deal will come on top of what we’ve guided.
Matthew Clark: Okay. Thank you.
Operator: Thank you, sir. Next question is from Mr. Andrew Stimpson from KBW. Sir, please go ahead.
Andrew Stimpson: Good afternoon everyone. Thanks for taking my questions. First one on global markets, please. You added about 1.3 billion in revenues there in 2020 and costs only moved higher by about 0.2 billion, that’s the marginal cost income ratio of about 20%. Is that a fair assumption for us to use going forward when we think about revenue movements up and down in the years ahead, i.e., if revenues fell by 0.5 billion we should be thinking that costs would fall by about 0.1 billion, for example, is that fair? And then the second one on costs, and I appreciate the progress made on costs in 2020 and the positive jaws, but I wanted to ask on the guidance for 2021 the flat costs, you showed all the progress you’ve made on the digital offerings in the various market on several different slides today, as well as deploying robotic processes and all that stuff’s great. So I’m just wondering why there isn’t an expectation of some of that benefit to roll through into 2021. And why that benefit doesn’t come through a bit more where there’s no willingness to cut more of the old costs and the old processes, which presumably being replaced. Is it just those savings are being absorbed by something else? Thank you.
Jean-Laurent Bonnafé: It’s supposed to be dissolved by the inflation risk. Yes, there’s basically two things when you look at the cost. So there’s first thing, so indeed there is still a cost reduction coming from the previous effects, but they are basically also compensated by the fact that there is inflation, but also there is the growth in the business which comes with the related variable costs. And the other thing is that, in the past, the previous plan we thought like there will be one movement of digitalization. So we had exceptional costs to basically accompany that. What we now see is that, there will be evolutions changes like working from home and the likes, and that’s going to be a continuous effort. So that basically means there will not be dedicated kind of cost. So all the costs that we do to further invest they will come and be-phased in such a way that they are financed by the savings that come from it. So that’s basically the background to the cost evolution.
Andrew Stimpson: Okay.
Jean-Laurent Bonnafé: Yes. Cost income on global markets, so what you basically say is there has been – the marginal cost income of the additional business has been at a cost income ratio which is below the standard one, because it’s a marginal business. So that’s basically it. So that basically means that, if that additional business that comes at marginal costs, if that additional business will go away technically it’s also that marginal cost that goes away. So that’s the dynamic.
Lars Machenil: I mean, you’re right Jean.
Andrew Stimpson: Yes, that 20% that’s a reasonable number for us to use going forward basically…
Jean-Laurent Bonnafé: For the marginal volumes.
Andrew Stimpson: Yes. Okay. Thank you very much.
Operator: Thank you, sir. Next question is from Mr. Stefan Stalmann from Autonomous Research. Sir, please go ahead sir.
Stefan Stalmann: Yes. Good afternoon gentlemen. Thank you very much for taking the questions. The first one goes back to your outlook comments for 2021, until 2020 you have been working towards an ROTE target of 10% under the old plan. Should we just forget about that for 2021 as an interim year before the new business plan is defined or is it still something that you’re working towards this year as well? And the second question relates to some numbers. I noticed that your loan book during the fourth quarter was essentially flat, but your credit risk weighted assets were growing by about 1.5%. Was that maybe a first installment of TRIM or were there any other effects at play? Thank you very much.
Lars Machenil: So maybe on those two questions Stefan, so first of all, yes if you look at the evolution of the balance sheet and the risk weighted assets there is also a process internally that we’re doing of reviewing our parameters. And given that the year has been a bit, I would say shaken by the pandemic, it also means that our review of models lead to somewhat reviewing risk rates and also with the discussions we have. So that’s basically what is driving this and us being into the reviews and all of these reviews being very conservative and taking this effect. And when we come to your outlook of the ROTE, so the ROTE is basically what we would assume over the cycle. And so we basically said that 2022 will be a year of more the return and the 2021 being transitional. So I think that 10% sadly not for this year, but we do our best. And …
Jean-Laurent Bonnafé: Don’t ask for a figure. I mean we don’t want to give any outlook for the P&L next year, for the earnings so we don’t. We have given all the guidance we wanted to give in return on the slide.
Stefan Stalmann: Okay. Thank you very much for it.
Operator: Thank you, sir. Next question is from Madame Anke Reingen from RBC. Madame, please go ahead.
Anke Reingen: Yes. Thank you very much for taking my question. The first is coming back on to the cost, while you say favorable cost 2021 versus 2020. And I guess understand it’s all including the 400 million adaptation and IT costs. And coming back to a comment if missed one of it, is that – going forward we should think about costs as in the reported number, including all the IT investments, adaptation costs, which will no longer come as a lumpy number, but part of the sort of like cost base of an annual level. And when you talk about positive jaws, would that therefore be included as well? And then secondly, you just said you don’t want to give an outlook in terms of number for 2021, but obviously when you gave the guidance was back on May, net profit down 15% to 20%, and obviously came in line with this guidance, but obviously there was probably lots of moving parts and you might’ve envisaged this on composition. So I just wonder when you gave us this indication what is sort of like worked better than you expected at the time and what worked sort of like worse? And you gave us some sort of like indication about the outline, what the 2022 to 2025 strategic plan looks like, and you have made a number of like personal changes as well and congratulation. But I just wondered what we should think the lesson learned was over the course of the year that drives part of the new plan? Thank you very much.
Jean-Laurent Bonnafé: I’ll start to – take off Anke. So, yes what we basically said, when we look at the costs, we include all elements. And therefore, if we talk about jaws, we talk about everything included. So that is basically the scope that we have. So we don’t single out those development costs as we did over the previous year. We iron them out and we basically use the savings to fund the next wave, so that’s basically that. And just to be sure on the question on the outlook that we did better than the outlook, I suppose you mean 2020 right?
Anke Reingen: Yes. So I was wondering what the lesson learned is from 2020, and that’s been sort of like transformed in your new strategic plan without giving us too much guidance, because obviously sort of like divert what you told us, but I expect the composition might be somewhat different. And I just wonder what the lesson learned was and some key points that now drives the new plan, where you have gave some outline on Slide 55 and you made some personal changes, but maybe just in broad concept?
Jean-Laurent Bonnafé: The reason, Anke I think it’s at that too early. What we have seen is that in 2020, we were doing periods of times in the lockdowns. So we had to adapt to work from home, which all brings its own elements that we have to adapt to. We saw that our workspace can be a bit different, but at the same time, we had to see how we can onboard new clients, how we can onboard new people. And that’s basically a bit de-phasing of what we are all ironing out to basically get the technical things that we’ve learned to see to iron them out. As I said, we cannot work with 100% people work from home. We have to find the right balance and we have to find how we can evolve on that. And that is basically what we will do this year. And at the same time there will be a development and reflection on the levers and the things that we will use in the plan that we will discuss next year ramping up to 2025. So that’s a bit de-phasing and the lessons learned.
Anke Reingen: Okay. Thank you.
Operator: Thank you, Madame. Next question is from Mr. Jean-François Neuez from Goldman Sachs. Please go ahead.
Jean-François Neuez: Hi, good afternoon. So I wanted to ask two questions. The first one is on the jaw thing. In your two previous years, you were very proud of showing a return to positive jaws. And the question I have about the outlook in 2021, when you say revenue is up slightly cost flat, so therefore positive jaws. My question is whether, if the revenues don’t come maybe exactly as what you plan them to be, whether you think you can – in any case or almost in any case, more likely than not deliver positive jaws. So essentially whether the positive jaws is a priority over the revenue growth or vice versa. And the second question that I had was just more conceptually with regards to going, looking-forward you have a business plan of coming here, even if the provisions were to fall back to the normalized level, obviously the level of interest rate that you guided up, it’s very, very difficult to achieve 10%, these objectives keep falling for every bank. And a lot of banks around are now starting to take much more transformative decisions, whether with regard to mergers or otherwise standalone cost cuts, very deep changes in their branch network, et cetera. Essentially, do you believe philosophically that you should continue chipping away and trying to improve as you can on the current basis? Or do you believe that in the next strategic plan, you will need to undertake slightly more transformative strategies in order to achieve returns, which could be above the cost of capital? And just one technical question, when you said 50% payout objective for 2021 earnings but then review this payout with the business plan, will the review also maybe impact the decision on the 2021 dividend only from 2022 onwards? Thank you very much.
Jean-Laurent Bonnafé: So Jean-François thank you for your three questions. So yes, on the jaws we are proud of it, as you said so we are focused, but we were in a period of time where there was a focus because there was the pandemic and the other elements so we were focusing on costs. What we see now with the anticipation that we have of a rebound, we shift towards growth. And so that means that we of course do not give up the jaws. As we said, we keep costs flat while we grow revenues, so that basically means we compensate the variable costs of the transactions. And so that is what we are focused on. If, for one reason we shift back in a mode where this doesn’t happen, we will also shift into that mode, so that’s basically that. When we look at the – your question on the interest rates risk, let’s not forget that the low interest rates are in particularly a situation for all European retail. And let’s not forget that we, first of all, we have many other activities, so we have the other domestic markets, or we have, for example, CIB, which is in a pricing, which is variable based instead of fixed base, so the dependent is totally different. So we have a mix of activities where there is, yes, the retail in domestic market is impacted by it, the others are not, and are even fueled by this environment. And on top of that, we are shifting into fee business and that is what we are well positioned for. So that is a bit the elements that we take into account. And for the rest on the dividends, so we basically have this intention to have the 50% as we mentioned, and we will give an update, one, we have a view on the 2021 planning. So Jean-François that will be my answers.
Jean-François: Okay. Thank you.
Operator: Thank you. Our next question is from Mr. Tarik El Mejjad from Bank of America Merrill Lynch. Please go ahead.
Tarik El Mejjad: Hi, good morning. Just to actually follow-up on Jean-François’ last question on the long-term strategy. I mean, UCB, I’ve been talking a lot recently about this waivers and allow you to transform some of your subsidiary into branches. Hence you could circulate freely funding, copied solid liquidity and so on. And that’s definitely helped the prosperity in the longer-term. Would that make sense for you to take that benefit especially for you that you have quite a pan-European existence and that will help you a lot to manage better your ring-fenced balance sheet at the moment? And then the second question is probably leading is M&A in that context where you would manage your balance sheet, as one in Europe, would you be more interested in introducing some more sizeable M&A that just a small bolts on that you are still doing now? That’s my questions. Thank you.
Jean-Laurent Bonnafé: On the M&A – all the questions and coming back to the question of Jean-François as well. We consider that even the big changes in the banking industry is through the digitization and also we sold the new product that can be created and sold. And we firmly believe that it’s more value creative to be focused on our transformation and gaining organically market share on the set number of competitors that are not as successful as we are in terms of transformation to the new world, rather than spending time in transformational big deals, which are extremely time and effort consuming. And that would distract us from the cutting edge revolution of the technology and the banking business. So we are really focusing on our own growth, we may use bolt-on acquisitions in order to speed up a set number of activities or to compliment some of our franchises or to acquire some technologies. But we don’t intend to consider any big transformational acquisition in terms of M&A, that’s very clear.
Lars Machenil: Yes. And on the waivers that could circulate the liabilities, that is true, if that would come, that would be a supporting event, but let’s not forget if the liabilities could not move around often the assets can move around. So from that point of view, it shouldn’t be a world changing event.
Tarik El Mejjad: Thank you.
Operator: Thank you. Our next question is from Mr. Kiri Vijayarajah from HSBC. Please go ahead.
Kiri Vijayarajah: Yes, thanks. Good afternoon, everyone. Just a couple of questions from my side. So firstly, in French Retail, near the buildup in cash deposits you saw earlier on in the year, that seems to be reversing now and just wants to know what the underlying drivers work, because you’ve talked a bit about switching cash deposits into investment products, which are clearly positive, but also to what extent is it also SMEs running down that cash balances which is obviously more of a negative, so some color there would be helpful. And then second question is, is really just a bigger picture question on the CIB, would you say you’re kind of still in investment mode in CIB? For instance, are you on the hunt for more deals like Deutsche Prime Brokerage, or is it more kind of from there on in more steady stage, just very selective organic growth plans in CIB? So just your high-level thoughts there would be helpful. Thank you
Jean-Laurent Bonnafé: So gain in CIB like in the other businesses, we are not excluding bolt-on focused acquisitions like we did in the past, so it’s not excluded at all. As far as the cash deposits are concerned, I have to say that those deposits beyond being the result of individual decisions and individual situations of our clients being cash rich, it’s also a structural consequence of the monetary policies and unconventional monetary policy of the European Central Bank. And this – by buying a huge amount of government securities, the European Central Bank is injecting cash in the economy and this cash necessarily at the end, end up on our accounts, on the accounts of banks. So it’s something that is structural and it’s going to stay to last as long as the Central Banks keep buying government bonds and as they know it will last for long time, if they believe what they are seeing themselves. And so we are – we have to be ready to help our clients making the best of these cash deposits and meaning that probably that they would be more inspired to invest them in other products and just keeping ready in cash. And so we have something to bring here more systematically and to add value to these cash. And I think it would be for the good of our clients and it could be also a source of revenues for us.
Kiri Vijayarajah: Great. Thank you.
Operator: Thank you, sir. Next question is from Mr. Pierre Chedeville from CIC. Please go ahead.
Pierre Chedeville: Yes, good afternoon. Two questions. My first question is relating to the CIB or so I wanted to know following the code of the [indiscernible] with pretending now to gain and gain market share. What in your view is the – lucky would for you to continue to gain market share considering the fact that some of your competitors have gone through were black years, I would say, and now I would say the playing field is more balanced, I would say. And so my question is, do you think that you are going to keep the base of gaining market shares in the CIB and pasture on in the seek industry as you used to do in the past few years? My second question is a little bit more philosophy regarding sustainable finance, because as – used to say, I would like to know from where are you talking, because when we look at your Slides, 16, 17, 18, it’s a nice – I would say, a [Foreign Language] of what you do in this area. But at the end of the day, I would be very interesting to know what is – would say revision regarding this energetic transition. Do you think, like for instance people like – used to be [Foreign Language] I guess, you know and he thinks that to tackle the climate change, we have to decrease the GDP, the worldwide GDP first option. Some of us think that we will – we can avoid to decrease the GDP, thanks to technological progress. And another school is go between these two version. And I would like to know what is deep in your brain and not deep in your – but deep in your brain. What is your vision regarding climate change and how do you see the thing, because when you say we are worldwide with the 30 billion in sustainable bonds, I would say, okay, but at the end of the day, it will not change the climate et cetera. So what is your theoretical view around this – your measures? Thank you.
Jean-Laurent Bonnafé: I think that we are not – we are very pragmatic. We think that it’s really the general trend and we love the society to fight against the climate change that we have to take our share of this. And that there are a lot of investments to be financed, a lot of new companies to help in these areas in general, and that we are well positioned to do that, and so we have decided, or – few years ago, quite a few years ago. Not to – as I said to pivot from a set number of activities that we were financing to stop financing them and to instead increase our presence also in capital markets in all the products we can provide them with to focus on this new economy in order to be on the side that is growing rather than being on the side that is declining. Now at the end – was there a more competent than we are to decide what’s going to be the result to the number of degrees that we are going to save in 2030 and so on. But we have – as far as we are concerned and doing our own path, which is – we are – I mean, it’s a small part. I mean, we are – that we are just after the whole – to that direction. We are seeing that there is room for our activity and for profitable business, and at the same time helping the society going into the direction each one to take. It was always in terms of market share for peak, I think that there is not only Deutsche Bank and there was sales on the market, there are many, many players. And while we believe that as far as we are concerned, I don’t want to comment on competitors, as far as we are concerned, we believe that we have made a big, big progress this year, and we are going to try and keep – and further improve. And we are in a kind of – I think we have started a kind of a positive spiral on that business. And we intend to continue and we will see – there are many competitors some are gaining other are losing. And there is not only ourselves, not only the Americans and we have – there is home for say all – we know it until we’re losers.
Lars Machenil: So Pierre that will be your answers.
Pierre Chedeville: Thank you.
Lars Machenil: I think we had the last question.
Jean-Laurent Bonnafé: No, there is still.
Operator: Yes, we have no other questions. Back to you for the conclusion.
Jean-Laurent Bonnafé: So thank you to all of you. Regarding – I’m quite confident we will continue to grab macro share, the phone is ringing every day, so it’s a good signal. So take care, stay safe. Hope to see you soon in a more direct way. I guess there is some months to go with this situation, but you can come very much on us, the momentum of the bank, the spirit of our colleagues to fight on these to support the economy and to – I would say to extract the best of it for the sake of our shareholders. Bye-bye, take care.